Operator: Good morning. My name is Joanna, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Ritchie Brothers Auctioneers Fourth Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'll now turn the call over to Mr. Sameer Rathod, Vice President of Investor Relations and Market Intelligence to open the conference call. Mr. Rathod, you may begin your conference.
Sameer Rathod: Hello, and good afternoon. Thank you for joining us today to discuss our fourth quarter results. Joining me today are Jim Kessler, our Chief Executive Officer, and Eric Guerin, our Chief Financial Officer. The following discussion will include forward-looking statements, which can be identified by such words as expect, believe, estimate, anticipate, plan, intend, opportunity and similar expressions. Comments that are not a statement of fact, including, but not limited to, projections of future earnings, revenue, gross transaction value, debt and other items, business and market trends and expectations regarding integration of IAA, including the anticipated cost synergies are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause actual results to differ significantly from such forward-looking statements are detailed in our news release issued this afternoon as well as our most recent quarterly report and annual report on Form 10-K, which are available on the Investor Relations website and EDGAR and SEDAR. On this call, we will also discuss certain non-GAAP financial measures, including forward-looking non-GAAP financial measures. For the identification of non-GAAP financial measures, the most directly comparable GAAP financial measures and the applicable reconciliation of the two, see our news release, Form 10-K, Form 10-Q and investor presentation posted on our website. We are unable to present a quantitative reconciliation of forward-looking non-GAAP financial measures as management cannot predict all the necessary components of such measures. Investors are cautioned not to place undue reliance on forward-looking non-GAAP financial measures. At this time, I would like to turn the call over to Jim. Jim?
James Kessler: Thank you, Sameer, and good afternoon to everyone. We finished the year strong with fourth quarter gross transaction value growth of 13% on a pro forma combined basis. All our sectors contributed to solid GTV growth, fueled by our team's dedication to consistently over deliver on the commitments we make to our customers. Our continued focus on operational excellence and driving incremental efficiencies across the organization resulted in strong adjusted EBITDA growth. Invested in our teammates through a best-in-class people experience remains core to our strategy. Our ONE Team, All In culture was recognized recently with a prestigious Great Place To Work certification. The recognition underscores our ongoing progress in integrating our teams and solidifying RB Global as a highly attractive workplace. This translates to increased engagement and productivity with our teammates, which benefits our customers and all our stakeholders in the long term. Let me start by talking about our Commercial Construction and Transportation sector. We continue to be the partner of choice for our customers as we guide them through their disposition needs. The consignment environment remains supportive as OEM production has ramped up, allowing equipment owners to act on fleets that were aged during a pandemic. That said, we are not resting on our laurels. We are reinforcing our winning strategy by investing in our sales force, recruit in top talent and providing better sales coverage in certain markets within North America. Every market share percentage point recapture translates to more satisfied customers, solidifying our commitment to excellence and remain in the partner of choice. Moving to the Automotive sector. We continued our steady acceleration towards operational excellence by implementing enhanced processes to overdeliver against our service level agreements. Customer savings and operational efficiencies go hand in hand for us. That's why we prioritize optimizing total performance after transaction closing. Picking up the vehicles quickly and efficiently stop storage cost, rental car cost and other auxiliary costs for our customers that significantly impacts net returns. I am proud of the team and pleased to say that our process improvement, combined with strategically deploying internal tow cost, tow assets have dramatically improved our performance compared to prior levels. Our pickup compliance and internal measure of our tow performance was approximately 98% in the fourth quarter, a substantial improvement year-over-year. More importantly, we have consistently been in the high 90s of compliance for several months. We are focused on streamlining buying processes and strategically leveraging technology to maximize gross returns for our customers. Our efforts yielded measurable results again in the quarter, with automotive average selling prices climbing an industry lead in 2.5% year-over-year. A prime example of our technology deployment is our recent implementation of JD Power ChromeData VIN Descriptions with our IAA Interact merchandising platform. This gives buyers unparalleled and industry-leading insights for trim level data on vehicles in our marketplace while unlocking additional value for our sellers. We are also getting phenomenal feedback on our recently launched Sales Decision Center. This system gives our sellers incredible real-time transparency into the variables impacting the market's micro structure of our auctions, allowing them to optimize their price realization further and unlock incremental value. As we continue to discuss our operational excellence program with our partners, we will launch a program that will provide our aggregated SLA performance to all of our insurance partners next week, creating an industry-leading level of transparency. The road ahead is paid with continuous improvement, and we're committed to exceeding customer expectations and our commitment to every turn. So momentum from our efforts to integrate IAA is fueling a broader focus on efficiencies and operational excellence across the entire organization. We've realized $17 million in actual cost synergies in the quarter and have actioned a total of $70 million in annual run rate cost synergies since the close of the transactions. We are confident with all the plans in place to achieve our cost synergy target on the timetable we previously communicated. Our responsibility is to manage overall costs, not just cost synergies and more importantly, deliver overall results. We are keenly focused on top line growth and margin expansion opportunities across the entire organization. And therefore, we will no longer be reporting progress on cost synergies quarterly. By continually exploring ways to efficiently manage the cost of our business through operational excellence, we will enable strong flow-through, which will drive shareholder value. In our discussions with our valued partners, land ownership is not necessary for meeting or exceeding our service level agreements or winning additional market share. We maintain a surplus of land capacity across our asset classes, allowing us to accommodate our operational requirements easily. As we indicated last quarter, we will continue to purchase property strategically and opportunistically in regions surplus of cats for where the market opportunity makes strong financial sense for us to make these investments. In certain markets, we proactively have and will continue to acquire space to better service the needs of our customers. Before passing the call to Eric, I would like to introduce him formally. When seeking our new CFO, we have three critical criteria in mind. Firstly, we wanted someone who could enhance operational excellence by collaborating closely with the sales and operational teams. Secondly, a people-oriented leader who seamlessly aligned with our ONE Team all-in culture. Lastly, someone with a deep understanding of a customer-centric company. Eric embodies all these qualities and his experience within the automotive ecosystem has allowed him to dive in and make immediate impact. Let me pass the call to Eric to discuss our financial results for the fourth quarter and our outlook for 2024. Eric?
Eric Guerin: Thank you, Jim. I'm thrilled to be here and wanted to add my welcome to everyone joining the call. I want to thank the entire team at RB for making me feel so welcome and right at home. Before we jump into the details, please note that year-over-year comparisons for GTV and revenue refer to a comparison to the pro forma combined results of Ritchie Brothers and IAA for the prior year period. Total GTV increased 13% with strength across all sectors. Automotive GTV increased by 10%, benefiting from higher unit volumes and a higher average selling price. The existing customer portfolio drove the growth in unit volumes as the salvage industry continues to benefit from a rebound in the total loss ratio. In the fourth quarter, CCC estimated that the loss ratio increased to approximately 20.4% compared to 20% in the same period last year. Recall that the total loss ratio is the number of vehicles deemed salvage as a percentage of total accidents. Used automotive prices continue to trend lower year-over-year, while repair costs remain elevated, creating a productive environment to consider a car a total loss after an accident. GTV in the commercial construction and transportation sector increased by 20%, driven by increases in lot volumes, partially offset by declines in average price per lot sold. Part of the decline in the average price per lot sold was due to asset mix, as lot volume growth came from rental and transportation customers, where asset values are intrinsically at lower ASPs compared to traditional earthmoving assets. Additionally, we continue to observe declines in price year-over-year on an apples-to-apples basis. I also want to note that the Yellow Corporation dispersal had a negligible impact on our GTV in the fourth quarter. Moving to service revenue. Service revenue increased 14% with our service revenue take rate expanding approximately 20 basis points to 20.2%. Service revenue increased due to growth in GTV and a higher average service revenue take rate. The increase in the average take rate was driven by a higher average buyer fee rate and growth in our marketplace services revenue, partially offset by a lower average commission rate. The lower average commission rate was primarily driven by a higher mix of automotive-related GTV and a higher mix of construction and transportation assets from strategic accounts. Moving to inventory. Inventory revenue declined 10%, with lower revenue contributions from the automotive and commercial and construction and transportation sectors. Inventory rate for the quarter contracted 620 basis points year-over-year to approximately 5%. The decline in the inventory rate year-over-year can be attributed to prices declining faster than anticipated between the purchase date and the data sale of inventory in our commercial and construction and transportation sector and an increase in the cost of vehicles sold in our automotive sector. As previously noted, we expect the environment for at-risk deals to remain competitive in our commercial, construction and transportation sector. Turning to earnings. Adjusted EBITDA increased 14% compared to the combined adjusted EBITDA of IEA and Ritchie Brothers for the year ago period. Growth in adjusted EBITDA was in line with our pro forma service revenue and GTV growth. Adjusted earnings per share increased 21% on strong operational performance and the full quarter impact of IAA inclusion, partially offset by higher share count, higher net interest expense and the impact of the Series A senior preferred shares. At the end of the fourth quarter, our adjusted net debt to trailing 12 months adjusted EBITDA was approximately 2.5 times. Adjusted net debt to trailing 12 months combined adjusted EBITDA was approximately 2.2 times, down two tenths of return compared to last quarter. We remain focused on deleveraging to approximately 2 times by the end of the first quarter of 2025. Moving to the outlook. We wanted to provide our initial thoughts on 2024. We expect gross transaction value growth between 1% and 4% year-over-year in 2024 compared to the pro forma combined gross transaction value of 2023. We expect adjusted EBITDA from $1.17 billion to $1.23 billion in 2024, reflecting continued growth, our commitment to operational excellence program and prudent investment in growth initiatives. We expect our full year 2024 GAAP and adjusted tax rate to be between 25% and 28%. Moving to CapEx. We currently expect full year capital expenditures, which include PP&E net of proceeds on disposals and additions to intangible assets to be between $275 million and $325 million. With that, let's open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] First question comes from Michael Doumet from Scotiabank. Please go ahead.
Michael Doumet: Hey. Good morning, guys. And welcome, Eric. Super quarter, but I'd like to start with the 2024 guidance. At the midpoint, it looks like you're looking for about 2.5% GTV growth, about 5% on an EBITDA basis pro forma, and that compares to EBITDA growth of close to 20% on a pro forma basis in the last three quarters. So I know the customer loss partly explained some of the slowdown. But wondering what else is contemplated within the guide, what market trend and perspectives for legacy and IAA as well?
James Kessler: Hey, Michael, thank you so much. Look, I think you got a big part of it right first is the customer loss. And then also as we look out in the industrial side and you look at years over years of what happens in the history of price going up and down and units going up or down. In the back half of the year, we do see that pricing unit dynamic changing where units are going to drop from where they are today and pricing who knows where it goes up, right? And what percent it does. So those two things are the biggest reflection of the guidance that we gave.
Michael Doumet: Got you. And then maybe just turning to the cost. It looks like the operating leverage is really starting to click here. You're still working on some synergies between the two businesses. It also sounds like there's a bunch of efficiencies you're targeting as well, Jim. So maybe expand on the -- some of the major drivers for SG&A into '24 and then how we should think about SG&A more broadly?
James Kessler: Yes. Look, I think SG&A, just in general, the philosophy that we have as a management team, we're constantly looking at how do we get more efficient. And no matter what process or activity that we have in our organization, we're taking a look at it. Think about all the portfolios and all the businesses that we have, Rouse, SmartEquip, different services that we provide, we're constantly looking at each of our businesses of how do you get more efficient? How do you get better? But along with getting efficient, the one thing I don't want to lose sight of is we are looking at how do we drive long-term value for everyone as we're doing this. So it's the combination of both of what we're looking at is, look, we're always going to want to be efficient no matter what year, what quarter, what day as a management team, we're going to look at how do we drive the most efficiency out of the business and invest in the things that make sense for the long term that keep us viable and in everyone's mind when it comes to all the asset classes that we support. And so I think it's just the philosophy of what you're seeing and what we're trying to drive. But we're never going to stop how do we become more efficient. It's the culture of the management team that we have in place right now, a big reason why we brought in Eric to help us continue this pace. And we want to be diligent about every dollar we spend on capital, we want to get a return for it. And look, I think all good companies have this in mind of what they try to drive, we're just very committed to it.
Michael Doumet: Nicely done. Those are my two. Thank you.
Operator: Thank you. The next question comes from Steve Hansen from Raymond James. Please go ahead.
Steve Hansen: Yeah, good morning guys. Thanks for the time. Look, the service performance metrics you described being in the high 90s now are quite impressive. How do you feel about parlaying those into some additional market share gains through 2024 on the IAA side? I know in the deck, you've described that as part of your priority, but just like some additional color on that, if you might, and how you feel like that's being reflected in the customer reception and ultimately winning new business?
James Kessler: Yes. Steve, the win in the business is always the hard part, right, because it's not my decision to make it someone else's. What I can control is making sure when we make a commitment on any SLA or anything, no matter what segment or asset class we have because I include this on the industrial construction ag side, just like I do in automotive. And when we make a commitment, we're going to over deliver on that commitment. And I believe when we do that consistently the trust that we're going to build with our customer base, and I can hear it now in our quarterly QBRs that they're seeing the difference, and they're appreciating the difference. But again, I'm very realistic as we talk about the U-shape last quarter. I know I need to get some months behind us because I think the only way you build trust and confidence is by showing month-over-month that you can deliver, and we look at it day over day, week over week. And when you do that, the type of industry that we're in for the automotive side, when you're in this and there's two main players in that space, when you create a viable competitor, then what it comes down to for each of our customers is who do you trust to deliver on a consistent basis. And I feel really good about the progress we're making, and we're being very transparent with our partners about where we're at and what we're working on and how we're going to add value to them, right? Because at the end of the day, our biggest thing that we're focused on is their customers' experience, driving cost savings out of their business. Operationally, how we do that day in and day out and driving the SLAs down to the branch level where they feel I'm totally accountable for it. So we're really confident about it. But again, I don't get the chance to make the decision of when it happens that someone else's decision.
Steve Hansen: No, that's very I appreciate that. And just a follow-up maybe on one of your earlier comments about moderating growth in units, particularly in the auto sector. Just is there anything specific that you're seeing in the current framework or like in the current or time frame current quarter, that's starting to suggest that's already evident or is that something where you expect to the back half?
James Kessler: Yes. I'm going to give Sameer this in a second. But again, I think it's more what we see in the history as we look at trends and cycles of what happens as we look at there...
Sameer Rathod: Yes. So Steve, the moderating growth in automotive reflects what we discussed last quarter with the customer loss. So if you think about the fourth quarter, we still had a full impact for this customer. We'll probably get a half a quarter impact in the first quarter. And then the second quarter, you'll get the full run rate without the customer loss. So that's what that reflects.
Steve Hansen: Okay...
James Kessler: Steve, my comment was more on the industrial side, just to make sure we're clear.
Steve Hansen: Understood. Appreciate that. Okay, thanks.
Operator: Thank you. The next question comes from Craig Kennison at Baird. Please go ahead.
Craig Kennison: Yeah, thanks. I know there have been questions on the auto side where share has been an issue, but I wanted to ask about the competitive dynamic on the construction side. You're clearly the market leader there, but your auto competitor has made an acquisition that could threaten that share over time. I'm wondering if you could just share an update on the competitive dynamic in the construction space?
James Kessler: Yes. No, happy to do so. So for us, we're not taking granted of our position of where we are on the industrial side. Like we've mentioned before, we are actively invested in territory managers to make sure we're in the market, building relationships and having conversations. We're actually entering markets where the competitor that you mentioned are in. But we're not going to take it for granted, and we're constantly building our relationships with our customers. I'm in Orlando today and have spent the last 5 days with our customers, building that confidence.
Craig Kennison: Yes. Thanks, Jim. And maybe as a follow-up on the territory manager comment. I just wonder if you'd share with us how that role has evolved and what your philosophy is today in terms of your go-to-market strategy and the importance of a territory manager versus call centers and other marketing approaches?
James Kessler: Yes. Look, we're doing both at the same time. I think the change in dynamic of people wanting to be self -- completely self-service. It's not immediate, but we have both programs going on where we have inside sales that work on the long tail. But the one thing that we know for sure, the industrial dynamics is a little bit behind and our customers appreciate that personal relationship, especially when you're dealing with a piece of equipment that's $200,000, $300,000. They want to have that relationship and that trust of what they're doing, especially when you think about an unreserved auction. So they want that commitment, that trust that someone is going to deliver. So we still see the value in territory managers having that in-person relationship as we're going through it. But we still realize, look, the world is going to evolve and transform. And we're making sure with our marketplace that we're building self-service capabilities, and we have an inside sales team to help. So we have both going. But in the short term, over the next 3 years, this in-person relationship will not dramatically go away from what it is today.
Craig Kennison: Thanks, Jim.
James Kessler: You got it.
Operator: The next question comes from Gary Prestopino at Barrington Research. Please go ahead.
Gary Prestopino: Good morning, Jim and Eric. Glad to get reacquainted again. Yes, I wanted to ask you, there was a lot of low-hanging fruit at IAA and in particular, in the issue with centralized versus decentralized decision-making. Has that issue of moving from centralized to decentralized and implemented at all of the salvaged sites at this point?
James Kessler: Yeah. So it's a tough question because, as I mentioned, we're always looking at ways to get more efficient and what works better for our customers, right? So what should be decentralized, would centralized. And sometimes there's a mixture of both, right, using centralized to support the decentralized and back and forth. But what I can tell you is the culture of the branch manager feel an ownership of the process, and this is my SLA to manage. And we have implemented a new bonus program for the branch manager starting January 1, that bonuses them off of your ownership of the SLAs. So what I feel really confident is the culture of the branch manager owns it. And the things that should be in the branch, we've shifted the low-hanging fruit stuff to the branch. But we're constantly going to always evaluate what's the best support mechanism for the branch and how to be as efficient as possible.
Gary Prestopino: So, okay. So as you talk to or your people talk to the insurance companies, the consigners of vehicles, what is some of their wish list that they would like to see IAA implement to improve service levels?
James Kessler: Yes. So it's such a diverse when you say our insurance partners, right? When you take what I'll call a Tier 1, the larger insurance carriers, then you work your way down to a regional and a different like farm bureaus. They all have a different -- it's such a diverse background of what's important. But look, the way we look at our business for all of our partners, is how do we stop all the advanced charges as quickly as possible and how do we keep them as low as possible for them, right? So we're constantly looking at that. Then when we have possession of the car, if it's inspection services and images and data and getting a title as quickly as possible, how do we make that so they stop depreciation as we're going through it. And then ultimately, what is the right auction platform of how we drive ASPs and how do we make sure we categorize things that are running drives first that are truly salvage. So we're constantly looking at how do you drive ASPs? And then ultimately, when you take those three things, you get down to how do you get the best net return, right? So I think they all want the best net return, but how they go about it and different partners and software and integrations, like everyone has a different philosophy of how they're going about it and what they believe is important. But we're very flexible where we're able to integrate with various partners, have data APIs going back and forth. But the things we key on is net returns and then we have three major buckets with a lot of stuff that go under those buckets of how we manage the business for them.
Gary Prestopino: Thank you.
Operator: Thank you. The next question comes from John Healy from Northcoast Research. Please go ahead.
John Healy: Thank you. Jim, I just wanted to get your thoughts just about what you mentioned in the prepared remarks about the transparency program on the auto side. Can you talk a little bit about what that look and what that feel is, if you think it's something that competitively others have? How it will make a difference for you? And then secondly, just if and when you guys get the opportunity to win some share on that side of the business, what's your general thought process of how that will come online? Are these typically a couple of states, a pilot? Did they last 3 months before you can prove yourself? Just would love to see kind of if you do get a chance to win, how we might see it kind of unfold in contributing the business?
James Kessler: Yes. No, John, I think you -- everything that you said at the end, it could be any of those ways, right, as you're going through it. But look, I came from collision. And inside of the collision world, there's a very transparent model of dated because you have so many more competitors in that space where you get, okay, you're this, and this is where you're hitting your SLAs and this is your peer A, B, C and D and where they're at, right? So you typically had a very transparent way to measure how you're performing. And that came from the insurance carriers, with the model we're in for salvage, with it being really just two players in this space, you don't get that level of transparency and at different partners, some through their own comparison, which is great. And other smaller accounts, they don't have the capability to do the analytics and do it themselves. So they're dependent on both of us giving them an indication of what's happening. So in my world, I'm getting so confident with where we're performing with the team. My plan is with our partners, and we actually have our industry event next week is to share how we're performing in the top performance categories every quarter with them. So they don't have to guess anymore what our competitors are saying, what we're doing. We're going to hand out our metrics to them and tell them how we're doing. Now we're going to do our quarterly QBRs with them or monthly reviews and share the data that's just specifically for them. But we are going to share our industry data with them, so they have confidence of what we're doing, what we're going after and how we're performing. And that's the level of transparency that I want to have. And then our competitors will decide whatever they want to do, but I'm confident on my side that we can drive these numbers consistently where we're at, and I'm happy to share it with them to show our commitment and to drive an operational excellence in that space.
John Healy: Great. That's helpful. And then you mentioned you're down in Orlando right now. I don't know if you mentioned it earlier because it happened between calls, but any kind of thoughts in terms of how Orlando is looking performing for you guys? And any sort of early indications of what might be in hold for the industry this year just by spending time on the ground there?
James Kessler: Yes. I'll just speak more to our customers. It was the biggest turnout that we've had from a customer event as we're going through this. And I think we did the press release where we talked about a historical number of lots that we're selling. So I think our customers are what I got are very happy with what they're seeing down here in Orlando, and it was great to get the turnout, which just gets back to the relationship that we have and the trust that we've built with our customers and -- but I think everyone is going to be happy with how Orlando turned out this year.
John Healy: Great. Thank you.
Operator: Thank you. The next question comes from Larry De Maria from William Blair. Please go ahead.
Larry De Maria: Thanks. The first question - good morning, everybody. The CapEx, I think, is $275 million plus. Is that a -- what's the run rate? Or how do you think about that over the next few years? Is that a good starting point? And then kind of grow from there. Can you just give us some color on that?
Eric Guerin: Yes, it's Eric. On the CapEx, the $275 million to $325 million range is specifically to 2024. Obviously, we'll continue to invest in our digital platforms, our PP&E as required. But I wouldn't build that into your long-term model at this point. I'm just providing guidance for 2024 at this time.
Larry De Maria: Okay. Thank you. And then -- maybe to put a finer point, I know you've discussed this a few times already, but on the IAA share and the U-shape comments and then in the presentation, you noted some market share gains. Is it safe to say, correct me if wrong, we're assuming kind of flattish share in '24 in your GTV, excluding the prior loss? And to follow up on that, are there any levers besides the SLAs and execution that could lead to shifts? I mean I think price is a possibility, but I know buyer fees are more likely not to change, obviously, and that's the big bulk of the profits there. And any preview on the tenders that can move the needle this way one way or the other this year?
James Kessler: Look, again, it's always a tough conversation because we don't get to make the final decision of who decides to move when they move, right? Of course, we know when all the contracts come up and all that fun stuff. But look, we're just laser-focused on what's in our control, how do we drive those results? And then we know what the type of industry we're in, having two viable players that people can choose from. Our hope is there's some rational market share that comes out of that, that largely makes sense for the type of environment we're in on the salvage side.
Larry De Maria: Okay. Well, I can appreciate that and sensitivity around it, but is it safe to say that we're assuming a flat year for IAA excluding the share losses? Or actually, we think we're going to pick up some share?
James Kessler: Yes. We're not going to give specifics on automotive by itself. But what I would say on the guidance, we've built in the impact of the carrier that we lost. As Sameer described earlier, that will roll off in Q2 through Q4 that is built in.
Larry De Maria: Okay, fair enough. Thank you. Good luck.
Operator: Thank you. The next question comes from Maxim Sytchev from National Bank Financial. Please go ahead.
Maxim Sytchev: Hi. Good morning, gentlemen.
James Kessler: Hey. How are you?
Maxim Sytchev: Good, good. I just wanted to circle back if it's possible kind of on the legacy equipment side. I mean as pricing has started to normalize, I mean, what we've seen in the past is that there's a high probability of kind of attaching additional services, whether it's like painting, small repairs and things like that. Are we starting to see this already in the field or you think that's more of a sort of a back half dynamic from your perspective?
James Kessler: Yes. We - I think your point is correct. And in our mind, I think it's more of a back half type of environment. We saw a little bit in Orlando as we're kind of going through it this year. But definitely, as units and price start to change, that becomes an opportunity. And look, I think as the environment changes, all of our services have a different profile to them, right? Our financial services look different in different economic environments. Transportation looks different. So we constantly look at how do we drive more services no matter what environment but some of them do act a little bit differently in certain environments and refurbishment and pain, we think could look differently in the back half. But again, it's a small part of our complete business.
Maxim Sytchev: Yes. Yes, sure. And then as we think about -- as you're trying to high-grade IAA's capability, in terms of -- I mean, if you can paint us a little bit your path from the journey, is it driven right now by adopting some of the technology tools that you have in the legacy part of the business processes, sort of improvements. Do you mind maybe just talking about those two dynamics and where it was done right now?
James Kessler: Yes. Look, I think it's a lot of everything, right? The one thing we've been impressed with on the salvage side of the business is what they built, and we didn't have a lot of cats this year. But the process they built, I think, is an unbelievable, flexible, efficient process that does some amazing pickup of cars when a flood happens and then the ASPs they get, even though we had a small season this year, what we saw in due diligence, I've been completely impressed with. And the AI investment that IAA has made in IAA vehicle score and different technologies, I'm completely impressed with in some of their ideas, bringing over to the industrial construction side. And then on the operational at the branch level, I think the team just needed an understanding of who's accountable for what, right? Whose responsibility is it, who's going to drive it? And how do we do this as a complete team and creating clarity. So there was no -- am I waiting for essential thing to do this or decentralize who's responsible for it. So we spend a lot of time making sure we are very clear of who's responsible for what. And then we took the analytics and said, okay, where do we have our problems, where do we drive it? And like I mentioned, we made sure from a financial standpoint, people's bonuses are tied to -- and this goes from the ELT down to the branch that were all tied to the same thing to drive the results that we want. So I think at the branch level, it was more the clarity and making sure we bring visibility to where we have problems and then being able to train against those problems and really helped it. And our commitment, we're going to deliver on our SLAs, right? Yes, we're going to manage our costs as we do it. But our commitment is SLAs drive the results for our customers over deliver. And then like I mentioned everything else, there's technology things that help. And I think as you look at our ASPs and being up what they were this quarter on the salvage side, a lot of that is the technology that the company has driven. So I think it's a combination of both.
Maxim Sytchev: All right. Thank you. And in terms of -- have you seen any turnover kind of look at a branch level as you have kind of delinked some of the legacy compensation structure? Or what are you seeing...
James Kessler: Now, the funny thing is, I think they appreciate it now because they know what they're accountable and they know what to drive and they know, okay, it's -- like it's in my control to go after this and get it, right? I'm not missing a tool where I can't get it, where before in the past, they didn't know how to go get it, right? And it was just left to, okay, maybe I get one bonus, maybe I don't. Now it's completely in our control of what they're driving. And I think they're very appreciative of it. And I think they're very appreciative of the clarity now of the business as we're going through it. So I think the team is excited. I'm actually excited that I'm spending in three different regions. We're getting all the branch managers together from IAA over the next 2 months. And this is going to be -- I've met some of them, but this is going to be my chance to meet every branch manager and making sure the culture of what we're trying to deliver really comes through. But I think the team on the salvage side is very excited to be part of RB Global and they're appreciative of the changes that we made so far.
Maxim Sytchev: Okay. Excellent. And maybe just one last one, if I may. In terms of Holcar [ph] any update on that side would be great. Thanks so much.
James Kessler: So a big part of our strategy, right? So it's part of what we want to go after, just like growing salvage share. And I'll probably just say growing all the share across all of our asset classes, no matter which one we're talking about. And we believe Holcar is another opportunity for us to go after and grow share and the same thing we did at the branch level. We created clarity, bonus programs and for sales teams and commissions of how do you go after this business. So I think the team is excited, but they're getting started, and this is really their kickoff in 2024 to go after this business. But like everything, look, it's building relationships and confidence, so it takes a little bit of time to get it. But we believe in the Holcar business, and we're going to invest in it and go after that side of the business to and grow share just like we do with all the asset classes that we're very proud of with the growth that we've had over the last three quarters.
Maxim Sytchev: Good to hear. Thank you.
Operator: Thank you. [Operator Instructions] Next question comes from Sabahat Khan from RBC Capital Markets. Please go ahead.
Sabahat Khan: Great. Thanks and good morning. Just maybe a question on the leverage side and capital allocation. Leverage looks like it's trending well. Presumably, the Yellow sale disposition helps maybe a bit on the cash flow side. Can you maybe give a little bit of color on maybe not just CapEx, maybe just on capital allocation, maybe 2 years out and then maybe 3 to 5 years out, I think in an earlier question, you said CapEx could potentially moderate. Just what are the other things you'd be focused on as CapEx moderate? Would we think about return of capital, other initiatives? Maybe just walk us through what that looks like few years [ph] out?
James Kessler: Yes. I think just to be fair, Eric has only been here for 1.5 months. So I don't think it's fair. I'll pass it to Eric in a second, but I don't think it's fair yet to give that much detail as Eric and I and the management team work through in detail all your questions, but I'll pass it to Eric for a few comments.
Eric Guerin: Yes. What I would say is our commitment to the two times net debt to adjusted EBITDA by the Q1 of 2025 is where we're focused. So we'll continue to get to that leverage level while continuing to invest in our digital platform as well as PP&E. So I feel really good about where we are against our commitment. As you noted in my prepared remarks, we're at 2.2 times net debt through Q4 and on a trajectory to hit our target by Q1 of 25%. To Jim's point, still looking at capital allocation. I think some of the things you brought up are obviously opportunities that we will look at as we get to the optimal capital structure for the business.
James Kessler: Yes. And I think just in general, I just want to reiterate, as a management team, our commitment to take any capital we spend to get a proper return for it. And that was the one of the biggest things having Eric come in as our CFO of that commitment and working across all departments to make sure that it really gets instilled in each of us down through the organization of our commitment of the return we want to get for any dollar that we spend. And as a leadership team with Eric here, we're going to be spending a lot of time on this conversation to make sure we're aligned on it.
Sabahat Khan: That helps. And then maybe to put you back on the spot, James. Just along, I guess, the synergy side, understanding you don't want to get into the details maybe going forward. But if you just kind of look ahead in terms of maybe an update on what are the bigger buckets that you're completely done with? And as you think about the remaining kind of integration period, maybe just what are going to be the bigger sources of synergies kind of through the kind of 2025 year?
James Kessler: Yes. Look, the funny thing is when we first combined companies like every company, you go through all the departments. And as you can imagine, procurement becoming one, they're the easy low-hanging fruit that happens. Unfortunately, we had a CFO transition, right? So Eric just got here. So like every new person coming into an organization, who'll look at his organization and what makes the most sense for the future. So -- but look, we're going to be laser-focused on every area as a management team of are we operating as efficiently as possible. And this is just never going to stop, right? It's just going to be a process that we're always looking at and kind of think about your organization of people, as you think about having a sales team, you have so many of them. There's always a bottom 10, right in the top 10 and people in the middle, and you constantly making sure you have the right people in place. So that's always going to evolve as we're going through this. So we're constantly looking at all the different areas, all the portfolio companies that we have, are they living up to the return that we want? Are they expected? And based on what we're seeing, we're going to make decisions. I think the great thing is we had the opportunity to look at all the organizations with the two companies coming together and putting our plans in place to get our -- and I hate using cost synergies of this, we're just running the business efficiently because I don't want this to sound like that we're just focused on the short term because we're not, we're focused on how do we run a business efficiently that operates in the long term at the same time. So we're doing both. And that's why at this point, I think we've done all the organization work. We have some plans in place to get done to live up to our commitment, which we're executing against. But we're never going to stop of are we as efficient as possible, and we're going to push each other to make sure we stay as efficient as possible as we go through this because we want to grow the company. We want to expand margins, and we want that to flow through to the bottom line.
Sabahat Khan: Great. If I could just squeeze in one quick one. There's a comment in your slide deck around the land strategy. Obviously, you and ourselves also got a lot of questions on just what that will eventually look like. Is this sort of kind of an evolving strategy? You'll see how things progress? Or do you have sort of a more definitive view on, look, this is what we want or land ownership to look like? Just any directional view on how you're thinking about that today? Thanks.
James Kessler: Yes. What I'll just say, in general, I don't think we -- to be able to gain share in this business. I don't think we have to have a profile that's one way or the other, right? If it's lease versus own in land, I don't think our partners care what financial decision we make. I think this is truly a financial decision what's the best use of our cash. And what do we do with the cash that we have, right? So I don't think this is to get business to hit an SLA, do you own or do you lease land. I think for us is what's the best use of our cash? Lands a component of the capital and we make financial decisions and dependent on the economic environment, if interest rates are really high, it might mean we own land today, but then we do a sale leaseback in the future. But a big part of what we want Eric and his team to support the organization through is what's the right financial decision for us as an organization. That's the most important thing that we have, and I feel really good with the conversations with our partners that if its own or lease isn't dictated in how we're hitting our SLAs, right? And this is really a financial decision, and we're being very clear with our partners that we're making the best financial decision so we can invest back into the business.
Sabahat Khan: Great. Appreciate the color. Thank you.
Operator: Thank you. There are no further questions at this time. I will turn the call back over to Jim Kessler for closing comments.
James Kessler: Again, I just wanted to thank everyone so much for taking the time and listening to our story about RB Global. And again, this is RB Global. This is just not one asset class. What I am impressed with the team is we're managing multiple asset classes, and we're growing each of our asset classes. So I just wanted to end thanking the team for all their hard work as being part of RB Global. And thank you for taking your time, and we'll talk to everyone soon. Thank you so much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.